Ashley Cordova: Good morning everyone and thank you for joining us to review Novocure's Fourth Quarter and Full Year 2019 Performance. I am joined today by our Executive Chairman, William Doyle; our CEO, Asaf Danziger; and our CFO, Wilco Groenhuysen. Pritesh Shah, our Chief Commercial Officer; and Ely Benaim, our Chief Medical Officer are also on the call. The slides presented today can be viewed on our website www.novocure.com by clicking on the link for fourth quarter and full year 2019 financial results located in the Events section on our Investor Relations' page. Before we start, I would like to remind you that our discussions during this conference call will include forward-looking statements and actual results could differ materially from those projected in these statements. These statements involve a number of risks and uncertainties some of which are beyond our control including those risks and uncertainties described from time to time in our SEC filings. We do not intend to update publicly any forward-looking statement except as required by law. Following our prepared remarks today we will open the line for questions. Financials for the three and 12 months ended December 31st, 2019 are available in our press release and in our 10-K, both of which we released earlier this morning. Where appropriate, we will refer to non-GAAP financial measures to evaluate our business. Reconciliations of non-GAAP financial measures to GAAP financial measures are also included in our press release and the appendix of the supplemental slides accompanying this presentation and in our Form 8-K filed with the SEC today. With that, I will now turn the call over to Bill Doyle.
William Doyle: Thank you, Ashley and good morning everyone. We started Novocure with the fundamental insight that electric fields can be harnessed to disrupt cancer cell division and cause cancer cell death. Over the last 20 years, we've built an organization of more than 750 colleagues dedicated to delivering Tumor Treating Fields, our life extending therapy to patients with glioblastoma or mesothelioma and dedicated to advancing clinical and product development programs intended to extend survival in some of the most difficult forms of cancer. We believe we are in a virtuous cycle of execution and innovation supporting the future growth of our company. In 2019, our global commercial oncology business generated $351 million in net revenue and provided $27 million in cash flow from operations. With this financial strength, we funded significant investments in preclinical and clinical development programs intended to expand the addressable market for Tumor Treating Fields therapy. Additionally, a growing body of evidence inform product development programs intended to improve efficacy and patient usability for current and future indications and ultimately to propel further growth. We start 2020 with substantial momentum from an extraordinary 2019. In 2019 we initiated our INNOVATE-3 trial in recurrent ovarian cancer and are now enrolling patients in four Phase 3 pivotal trials. We received FDA approval via the HDE pathway for malignant pleural mesothelioma our first FDA-approved torso indication. Medicare established coverage of Optune for newly-diagnosed GBM. We took initial steps into China through our partnership with Zai Lab. There were more than 250 presentations on Tumor Treating Fields at key medical congresses the majority by independent researchers. We made significant advancements into radiation oncology with a Red Journal publication detailing the dose efficacy dependence of Tumor Treating Fields and with ongoing investments to enhance our treatment planning software. Notably, we accomplished all of this while growing our net revenue by more than 40% and adding $80 million to our balance sheet. I will expand on our clinical and product development programs later this morning, but first, I want to turn the call over to Asaf who will speak about our commercial progress in the quarter.
Asaf Danziger: Thank you, Bill. Novocure delivered another strong quarter of topline growth in the fourth quarter with a record $99 million in global net revenues up 42% versus Q4 2018. We ended the quarter with more than 2,900 patients on therapy, our 20th consecutive quarter of active patient growth since the initial presentation of our EF-14 data. Leading indicators were also strong. Total prescription in Q4 grew 5% versus Q3 and the mix of prescriptions received for newly-diagnosed GBM remained near 80%. With more than 14,000 GBM patients treated to-date, Optune has established its central role in the treatment of GBM. As proud as we are of our progress to-date, we believe multiple levers remain to drive near-term growth in GBM. We plan to penetrate further into our active markets and are laying the groundwork for access in new markets. Also we are working to extend treatment duration through patient and physician education and through product innovation. Optune has been proven to provide long-term quality survival to patients with newly diagnosed GBM and I remain as confident as ever that we are making a difference in this disease. Moving to MPM, our launch in the U.S. continues to progress with three active MPM patients on therapy at quarter end. We have fully onboarded our sales team and they remain focused on certifying and training radiation oncologists supporting the required IRB approval processes and educating the multidisciplinary care teams that treat MPM patients. We are encouraged by the initial response from the MPM physician community. In 2020, we will broaden our target treatment centers to include community centers that see a high volume of MPM cases. We will continue to support the required IRB approval processes and have developed tools we believe will help centers accelerate this process. We are educating the physician community at key medical congresses and are building patient awareness in partnership with patient advocacy groups. We continue to believe that there are many more patients who can benefit from Tumor Treating Fields than are currently on therapy and we will not be satisfied until all eligible patients are offered a great opportunity for long-term quality survival. With that, I will turn the call back to Bill to discuss our clinical and product development programs.
William Doyle: Thank you, Asaf. We believe the Tumor Treating Fields mechanism of action is broadly applicable to solid tumor cancers. Our fundamental scientific research spans two decades and in all of our preclinical research to date, Tumor Treating Fields has demonstrated a consistent anti-mitotic effect. Our extensive preclinical evidence provides the foundation upon which we are executing a strategy to advance Tumor Treating Fields through Phase II pilot trials, Phase III pivotal trials and Phase IV postmarketing studies across multiple solid tumor types. We are optimistic about where Tumor Treating Fields may go in oncology and our teams are working hard to enroll patients in six clinical programs, including four randomized Phase III pivotal trials. We are excited about the potential to significantly expand the addressable market for Tumor Treating Fields with readouts of key datasets anticipated over the next three years. Our METIS trial is testing the effectiveness of stereotactic radiosurgery plus Tumor Treating Fields in patients with brain metastases from non-small cell lung cancer. Today, there are limited treatment options available for patients with brain mets. While certain second-line systemic agents can be effective in treating metastatic disease outside of the brain, the blood-brain barrier limits the effectiveness of these agents within the brain. Patients typically experience intracranial progression within about eight months. METIS is designed to extend this time to intracranial progression by approximately six months equating to a hazard ratio of 0.57. METIS is designed to recruit 270 patients with data analyzed 12 months after the last patient in. The majority of clinical trial sites were onboard leading into 2019. We are now focused on accelerating enrollment at each clinical site and are working closely with investigators to ensure, they have the tools and resources needed to effectively communicate the trial protocol to as many eligible patients as possible. Moving to the torso. Our LUNAR trial is testing the effectiveness of Tumor Treating Fields with physician's choice of immune checkpoint inhibitor or docetaxel for the second-line treatment of patients with non-small cell lung cancer. LUNAR is designed to enroll 534 patients with data analyzed 18 months after the last patient in. LUNAR aims to extend overall survival by approximately five months, equating to a hazard ratio of 0.75. We have more than 80 trial sites in North America and Europe and we intend to increase the footprint of this study by more than 50% to include additional clinical sites and additional countries across Eastern Europe and Asia to accelerate enrollment. LUNAR allows physicians to choose between an immune checkpoint inhibitor or docetaxel in combination with Tumor Treating Fields. We expect this choice to vary based on geography, contraindications and first-line treatment. The data that will be generated from this trial contemplates multiple outcomes, all of which, we believe will be clinically meaningful for patients whose disease progresses, while on or after platinum-based therapy. Moving to pancreatic cancer. Our PANOVA three trial is testing the effectiveness of Tumor Treating Fields, with gemcitabine and nab-paclitaxel, as a first-line treatment for patients with locally advanced pancreatic adenocarcinoma. Pancreatic cancer is one of the most lethal cancers and is the third most frequent cause of cancer-related death in the U.S., with a median overall survival of approximately 15 months and a five-year survival rate of only 9%. PANOVA three is designed to extend overall survival by approximately five months, equating to a hazard ratio of 0.75. PANOVA three is designed to recruit 556 patients with data analyzed 18 months after the last patient in. At the end of 2019, we had 85 clinical trial sites onboard. We anticipate international expansion of study sites in 2020, bringing the total number of sites to approximately 135 by year-end. We are optimistic about the potential to significantly extend survivals of patients with this terrible disease for which there is still such a high unmet medical need. Our INNOVATE-3 trial is testing the effectiveness of Tumor Treating Fields with weekly paclitaxel in patients with platinum-resistant ovarian cancer. Ovarian cancer ranks fifth in cancer deaths among women in the U.S. Nearly, all patients with recurrent ovarian cancer develop platinum resistance and the prognosis for this population remains poor. INNOVATE-3 aims to detect an overall survival benefit of approximately four months, equating to a hazard ratio of 0.75. INNOVATE-3 is designed to recruit 540 patients with data analyzed 18 months after the last patient in. The European network for gynecological, oncological trial group is collaborating with us on this trial to facilitate enrollment of INNOVATE-3 at leading cancer centers in Europe. We are encouraged by the initial speed of enrollment, which we view as a sign of enthusiasm from the investigator community. Beyond our focus on clinical development, we believe, we have a considerable opportunity to improve our Tumor Treating Fields delivery systems through product innovation. The dose response for Tumor Treating Fields is driven by total energy delivered, which is a function of time on therapy and electric field intensity. Supported by our financial strength, we are increasing investments in engineering programs intended both to improve time on therapy and to maximize the energy delivered to each patient's tumor bed. We believe these enhancements have the potential to significantly improve patient outcomes, as we work to extend survival in some of the most aggressive forms of cancer. With more than 180 issued patents, we believe, we own global commercialization rights to our products in oncology and are well positioned to extend those rights into the future as we continue to find innovative ways to improve our products. Our commitment to innovation resulted in 33 new patent applications in 2019 alone. With that development update, I'll turn the call over to Wilco to discuss our financial progress.
Wilco Groenhuysen: Thank you, Bill. Novocure's continued commercial execution drove strengthening financial performance in 2019. Annual net revenues were $351 million, an increase of 42% versus the prior year. This is the sixth consecutive year that we have reported at least double-digit revenue growth. We generated $27 million in cash flow from operations during the year compared to $2 million in cash flow used in operations in 2018. We added $80 million in cash to our balance sheet ending 2019 with $326 million cash on hand providing financial and strategic flexibility. Specific to the fourth quarter, net revenues were $99 million growing 42% year-over-year and 8%, sequentially. Our year-over-year revenue growth was driven both by a 22% increase in active patients and by an increased average duration of therapy due to the patient mix shifts towards newly diagnosed GBM. We also drove a significant improvement in average revenue per patient from the initial impact of Medicare revenue in the U.S. and increased reimbursement rates in Germany and Sweden. For the three months ended December 31, 2019, we recognized $5 million in net revenues for Medicare beneficiaries built under the newly defined coverage policy, which became effective on September 1, 2019. We are working through the typical administrative ramp-up with Medicare and expect our net revenues for Medicare beneficiaries to further improve as we gain experience processing claims. Our track record of execution continues into 2020 with another national coverage decision. Last month the Ministry of Health in Israel established reimbursement for Optune for patients with newly-diagnosed GBM. Access to our therapy continues to grow in our active markets, which we believe demonstrates an increasing recognition by health insurers of the value of Tumor Treating Fields. We believe that our global pricing is sustainable and a further expansion of reimbursement in our currently active markets is an important lever for continued revenue growth. Moving down to P&L. Gross profit in the fourth quarter was $74 million, reflecting a 75% gross margin. Efficiency initiatives and scale drove a 12% decrease in the cost of revenues per active patients to approximately $2,900 for the fourth quarter of 2019. Innovation remains core to our long-term value creation strategy. R&D expenses in the quarter totaled $24 million up 58% versus the fourth quarter of 2018 reflecting an ongoing commitment to investments in clinical and product development intended to extend survival in multiple solid tumor cancers. We anticipate R&D expenses will continue to increase in future quarters as we advance clinical programs and meaningful product innovations intended to propel further growth. Our fourth quarter SG&A expenses were $51 million up 26% versus the fourth quarter of 2018, driven primarily by increased marketing expenses and personnel costs to support our growing commercial business. SG&A expenses as a percentage of net revenues were 51% in the fourth quarter of 2019 compared to 58% in the fourth quarter of 2018 reflecting an ongoing commitment to maintain a disciplined approach to spending as we support commercial growth in GBM and MPM. Our net income was $4 million with $0.04 in earnings per share in the quarter, our second quarter of positive net income. You will note that for the first time we are including an adjusted EBITDA calculation in our investor communications. Adjusted EBITDA is a non-GAAP measurement of earnings before interest taxes depreciation, amortization and share-based compensation. We believe adjusted EBITDA is useful in evaluating our operating performance as it removes the impact of earnings attributable to capital structure, tax rate and material non-cash items specifically share-based compensation. Adjusted EBITDA increased by $13 million or 314% to $17 million for the three months ended December 31, 2019 from $4 million for the three months ended December 31, 2018. This improvement in fundamental financial performance was driven by top-line growth and disciplined execution. We ended the quarter with $326 million in cash, cash equivalents and short-term investments an increase of $13 million from the prior quarter. We remain committed to improving financial, operational and capital efficiency by maintaining a balanced focus across growth profitability and liquidity. Our core business is stronger than ever and our 2019 performance reinforces our confidence in the long-term potential of the Tumor Treating Fields platform. With a compelling growth proposition, disciplined operational execution and financial strength our focus is unwavering on strengthening our existing foundation and executing on our strategic objectives to deliver value to our patients, employees and our shareholders. Thank you for your time this morning. With that I will turn the call over to the operator for questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Vijay Kumar with Evercore ISI. Your line is open. 
Unidentified Analyst: Hey, guys. It's Jon on for Vijay today. Just a couple of quick ones. So for the last couple of years you guys had revenues around the 40% level but the Street is modeling just a little bit sub-30% growth. And I know you guys don't give guidance but how are you thinking about the trajectory? And are you comfortable with where the Street is? 
William Doyle: So we'll ask Wilco to take the question Jon. Good morning. 
Unidentified Analyst: Good morning.
Wilco Groenhuysen: I think our growth rate and when you look at it in active patients that's what we've been talking about for quite a number of consecutive quarters remains uninterrupted. We've shown a number of quarters of consecutive growth. We expect it to continue. We show 5% year-over-year growth in prescriptions. We had our first quarter of above 1,000 scripts in the U.S. as I'm sure you've noticed. So we think that with the data the unprecedented data I'd like to say in terms of long-term survival with NCCN Category one designation a number of things that basically attest including publications of independent IST studies et cetera, et cetera. We think there's a substantial growth opportunity in front of us. We think we have multiple levers remaining to drive top line growth including realizing and we talked a little bit about that in the pre-recorded statements with national reimbursements Medicare, Israel, others that we're working on coming up, which we see substantial potential for improvement -- continued improvement in our top line growth.
Unidentified Analyst: Okay. That's helpful. Thank you. The other one that I had for you guys was about lung. Do you have any update on how you're feeling about the time lines there? And regarding kind of what we can expect for the interim readout? Is there any information that you're willing to kind of bless for us going forward as to what we can really expect to see? Is it going to be a headline? Or will it be something a little bit more in-depth?
William Doyle: Yeah. So just to remind everybody, LUNAR is our study investigating Tumor Treating Fields with PD-1 inhibitors or docetaxel for second-line treatment of non-small cell lung cancer. You all recall that Tumor Treating Fields, of course, is a therapy that we add to whatever the best standard of care pharmacology is, and we see in our preclinical work significant benefits to adding Tumor Treating Fields to both chemotherapy and immune checkpoint inhibitors. We are enrolling 534 patients with 18 months minimum follow-up. With respect to the specific time lines, we have not updated those. They are mentioned in the press release. We continue to work very hard with our existing centers here to increase enrollment and we intend as we mentioned in the script to continue to expand the number of centers. In terms of the interim, we do expect the interim to occur toward the end of this year. And just to be specific here there's three outcomes in an interim trial. There's the possibility -- theoretical possibility that you have to stop the study due to futility or due to some safety -- negative safety signal. We don't expect that with this trial. Number one, we've never seen a safety issue of course in 20 years of work with this therapy, and this is supported by very strong preclinical and Phase 2 work. It's the same mechanism of action of course throughout all of our work including our successful work in mesothelioma. And the most likely outcome is sort of the green light continue the trial as is. And I think that's where we'd like to set expectations. There is a small probability that the study can be stopped for success. Of course that is what happened with our GBM trial. That is an extremely high bar. And so, I think it's important not to anticipate necessarily an early stoppage on success.
Unidentified Analyst: Got it. So in the event of a continuation, can we just expect a headline? Or will we get a deeper look under the hood?
William Doyle: No, we don't get a look under the hood. So, you'll get a headline.
Unidentified Analyst: Okay. Thank you, helpful.
Operator: Thank you. Our next question comes from Larry Biegelsen with Wells Fargo. Your line is open.
Larry Biegelsen: Hey, guys. Thanks for taking the question. Bill, on LUNAR have you guys disclosed at what point the interim analysis occurs? In other words, how many patients have kind of reached 18 months follow-up?
William Doyle: Yeah. So we have Larry. The protocol specifies an event-driven interim analysis at 432 patients. And again, we expect it toward the end of this year.
Larry Biegelsen: Got it. And Wilco, at this point in the year -- in the past, you've pointed out potential disconnects between your thinking and consensus. I know you're asked about it on top line earlier. Is there anything else you would highlight today, and any color on kind of the gross to net billing expectation for 2020? And I had a follow-up.
Wilco Groenhuysen: Yeah. Good morning, Larry. Well, we -- our gross to net, as we said in the past, we expect it to continue to improve. And we talked a little bit about that in the script. We're going through the administrative ramp-up for Medicare. We -- as we've talked about that in the past, it's probably going to take a few quarters into 2020 to come to full fruition as well. So that will help in the gross to net as we have been treating the Medicare patients while we were in ongoing dialogue with CMM -- CMS towards reimbursement. Same is actually applicable for Israel, where we now have national reimbursement and get reimbursed for patients that are already on therapy. So, that flows to gross margin it flows to the bottom line. What we've also seen is continued improvement in COGS development for instance. And we talked in the call a little bit about $2,900 per active patient in terms -- per month for COGS which is from the top of my mind about $300 below where it was just a year ago. And with ongoing volume, ongoing capacity utilization, you would expect further improvement in COGS. That helps in gross margin improvement as well. So, to cut it a little bit shorter than I just -- and I have done so far, we are very committed to continued improvement of gross margin.
Larry Biegelsen: Thanks, Wilco. And just lastly for me. What's the status of approval in China? Are you still optimistic you won't need a clinical trial there, Bill? Thanks for taking the question.
William Doyle: Yeah. So, we are still optimistic that we will not require a clinical trial. We have seen a -- I'll call it a slowdown but not a stop in terms of our interaction due to the obvious situation there. So, we think there'll be a minor delay, but we are still anticipating approval.
Larry Biegelsen: Thanks for taking the question, guys.
Operator: Thank you. Our next question comes from Cory Kasimov with JP Morgan. Your line is open.
Unidentified Analyst: Hi. This is Gavin on for Cory. Thanks for taking my questions. We just had one on LUNAR as well. Maybe can you discuss what's driving the increased recruitment in Asia and Eastern Europe? Is this more of a function of just a low accrual in North America and the EU? Or are you trying to get a broader geographic footprint? And then I had one follow-up.
William Doyle: Yeah. This is fairly simple. So this is really our focus this year is to add additional trial sites in those regions, and that will help us. Those are areas where there's less competition and there are areas where we can drive the overall recruitment.
Gavin Scott: Great. Thank you. And then just on OpEx, seems like came in a little higher than we were expecting but you benefited from a tax item this quarter. Can you just provide additional context around that? 
Wilco Groenhuysen: Yes. This is Wilco. Good morning. I think you got two questions wrapped in sentence. So when we look at OpEx, R&D expenses are increasing as we would like them to. I think that's the investment in the future. We've talked about that in the past quarters as well that we expect R&D expenses to grow and that's still our expectation. When you look at SG&A expenses, this probably is the first quarter where we don't see a decrease in SG&A expense as a percentage of revenue. And I'd like to think that that's for a good reason as well. When you split SG&A up in its two main components sales and marketing and G&A then in G&A we see continued improvement in leverage, continued improvement in G&A expenses growing at a substantially lower pace than revenue. Sales and marketing was growing especially a little bit in the fourth quarter and that's mostly related to also an investment in the future. It's related to the MPM launch where we spent, of course launch-related expenses and have an organization put in place without having revenue yet for MPM in the fourth quarter. So I think overall we're making the investments where we need to make investments where we expect substantial future return and are still very much focused on disciplined execution. A little bit on tax. There were two questions. Sorry, I answered the one and I should answer the second one as well. I think tax expenses we benefited similarly as to the third quarter where we had some R&D credit benefits that helped us in reducing the tax expense line in the third quarter. We saw something similar in the fourth quarter. We also saw some amortization of intellectual property rights that we benefited from and there were some share exercises of share-based compensation that basically are deductible in the United States. There was a tax – beneficial tax effect on those as well. So that led to an overall approximately $6 million tax benefit for the fourth quarter.
Gavin Scott: Great. Thank you.
Operator: Thank you. Our next question comes from Gregg Gilbert with SunTrust. Your line is open.
Gregg Gilbert: Thank you. I have a few questions. My first one Bill is about your commentary around accelerating enrollment at sites. Is that to accelerate enrollment versus – or time lines versus previously communicated ones? Or do you need to do this to meet those objectives?
William Doyle: Yes. So again, Gregg. This is the – developing the clinical pipeline is one of the principal focus areas of the company and we haven't changed the time lines. But what we wanted to communicate since there's obviously tremendous interest in the pipeline is really the extent of the efforts and activities across our clinical trial program.
Gregg Gilbert: Okay. And then Bill I'm intrigued by the concept of enhancing the efficacy of the technology. It seems like it's an engineering and material science issue first and then later needs to be proven out in some clinical setting. Can you walk us through over what sort of period of years and just paint a picture for us as to what the path forward would be there? That seems pretty exciting.
William Doyle: Yes. So, thanks, Gregg. So for everyone, we've seen consistently that the effect of Tumor Treating Fields – and by effect I mean the efficacy, how long the patients live is a function of the total energy that we deliver to the tumor. That total energy is equal to the time on therapy, the number of hours per day, times, the intensity of the fields at the tumor. We showed some time ago in our EF-14 trial data that those patients who use the therapy longer had significantly longer survivals. What we showed last year – and these we're independent authors and what I think is really a seminal publication in the Red Journal this is the journal for radiation oncologists, that there was also a strong correlation with the intensity of the electric fields. I get asked, well, why don't you just turn it up then? The reason we can't just turn it up with the existing system is because as we increase the power to the tumor, we generate heat at the skin which is the point of maximum resistance. And so we limit the power based on the temperature of the skin. Gregg you're 100% right, that that is an engineering problem not a science problem. And now with the financial strength that's been built from our GBM business and I mentioned in the prepared remarks, what we really view now is this virtuous cycle that we grow the existing businesses, we provide significant cash and that enables us one to be profitable but I think even more important for investors to make really significant engineering investments. The specific investments that you asked about relate to the arrays and further investments actually in the TTFields delivery system itself to deliver higher intensities. I envision not one big bang here but a series of innovations that will unfold over the next number of years. We think some of which may require essentially lab development and submission and others will require clinical submission. So I really see this as something that we're fully engaged in today and you'll see rolled out over a period of years.
Gregg Gilbert: Great. Thanks. And lastly at the risk of going too early Bill, are your scientists or others outside the company looking at TTF outside of oncology at this point?
William Doyle: So our focus and I've said we have an extremely full point with oncology and all of the solid tumors. Again we've shown efficacy in over 20 different tumor types. We've talked extensively about the four Phase III programs. We also have Phase II programs in liver cancer. We just started one in gastric cancer. And we've a list to go from there. That said, we do have hints that this is -- that electric fields, as we deliver them these medium-frequency, alternating electric fields may. And I underline may have efficacy in other areas. And we've begun early-stage, thinking about those.
Gregg Gilbert: Thanks a lot.
William Doyle: Thanks, Greg.
Operator: Thank you. Our next question comes from Esther Rajavelu with Oppenheimer. Your line is open.
Esther Rajavelu: Hey good morning. Just following up on Greg's question, would any of these, tech enhancements require regulatory updates, like a bridging study? Or do you just update the technology. And just switch patients?
William Doyle: Hi. Esther, the answer is probably both. And what I mean by that, as I said, there may -- all of them will require regulatory submissions. We can't just cut in, a new product. In fact, even when we change the color of our arrays, they require regulatory submissions. The big differentiator is, do -- the regulatory submissions are they based on laboratory work? Or do they require clinical trials? Anytime we want to change our claims, so in other words, the claims of efficacy, those will require some sort of bridging work. But there may, -- and again, we're early days in terms of the regulatory investigations here and they may vary by region, there may also be opportunities to bring improvements into the field based on laboratory submissions.
Esther Rajavelu: Okay.
William Doyle: So, it's going to be both.
Esther Rajavelu: Thank you. And then a couple of quick housekeeping questions, can you share with us the proportion of scripts written by rad oncs versus neuro oncs, in this quarter versus prior quarter?
William Doyle: Pritesh, can you comment on the...
Pritesh Shah: Sure. Thank you, Bill. Thank you for that question, Esther. So, we'd like to think about our business in multiple segments, of physicians. So in the U.S. as you know, multiple physicians are able to prescribe primarily, neuro oncologists in GBM, and radiation oncologists being your second segment. In MPM, as you heard, our focus is primarily on radiation oncologists. So we're building that book of business. We don't split out in percentages, because they ebb and flow. And it really matters on when that patient is being seen and in that life cycle of their treatment, who is going to prescribe. So we don't break out the radiation oncology number in specific.
Esther Rajavelu: Thank you. And then lastly on, China, you reported about $2 million, in revenues. I assume most of that is from royalties. But can you talk a little bit about, how your partner has priced the product in China?
William Doyle: Sure. So first of all the product has been launched in Hong Kong. It has not been launched yet, in Mainland China. As -- and Zai Lab is our partner. And they're principally responsible for pricing, so they report pricing. But I -- the one thing I will say is it is initially a self-pay, market in China. And as a philosophy, we have a global price throughout all the regions in the world.
Esther Rajavelu: And your partner is sort of in line with your global pricing?
William Doyle: Correct.
Esther Rajavelu: Okay, thank you.
Operator: Thank you. Our next question comes from Difei Yang from Mizuho Securities. Your line is open.
Dan Clark: Hi. This is Dan Clark on for Difei. And thanks for taking my questions. I guess to start, is there any carryover for the legwork you're doing in terms of opening new centers in Eastern Europe, Asia. And just globally into recruitment for future trials?
William Doyle: Yeah. Again, one of the things that we're investing in and this goes to some of Wilco's comments about investments in R&D are significant investments, in our clinical organization and footprint. And every time we develop a relationship with a center it becomes a NovoCure center if you will. It's a -- we support our clinical trials with our DSS network. And so, yes, this creates and adds to our global footprint.
Dan Clark: Thanks. And then, just as a follow-up, is there any update on the second-gen torso device? Are you still planning on launching that this year? And then any color on how this might lead to patients maybe staying on therapy or adhere to it would be helpful. Thanks.
William Doyle: So with respect to second-gen torso device and I will say this is remote with download capability. We are still expecting the commercial launch later this year.
Dan Clark: Thanks.
Operator: Thank you. And I'm showing no further questions, at this time. I'd like to turn the call back to, Mr. Bill Doyle, for any closing remarks.
A - William Doyle: Sure. And just brief remarks, first of all, I want to thank everyone for their continued interest in NovoCure. This is an extremely exciting time, for all of us at the company. We have grown from 20 years ago, a group of a handful of people, working with Professor Palti on his, really groundbreaking ideas to treat cancer with electric fields, to an organization today of over 750 colleagues globally. We're now fall into 2020, but really with exceptional momentum from 2019 which was just a year to remember, in terms of the company like ours. So we're going to end the call and get back to work. But thank you for your, interest and attention.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect. Everyone have a great day.